Operator: Good morning, and welcome to the RYAM Third Quarter 2023 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions with instructions to follow at that time. As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. Mickey Walsh, Treasurer and Vice President of Investor Relations. Thank you. Mr. Walsh, you may begin.
Mickey Walsh: Thank you, and good morning. Welcome again to RYAM's Third Quarter 2023 Earnings Conference Call and Webcast. Joining me on today's call are De Lyle Bloomquist, our President and Chief Executive Officer; and Marcus Moeltner, our Chief Financial Officer and Senior Vice President of Finance. Our earnings release and presentation materials were issued last evening, and are available on our Web site at ryam.com. I'd like to remind you that in today's presentation, we will include forward-looking statements made pursuant to the Safe Harbor provisions of Federal Securities Laws. Our earnings release as well as our filings with the SEC lists some of the factors which may cause actual results to differ materially from the forward-looking statements we may make. They are also referenced on slide two of our presentation materials. Today's presentation will also reference certain non-GAAP financial measures, as noted on slide three of our presentation. We believe non-GAAP measures provide useful information for management and investors, but non-GAAP measures should not be considered an alternative to GAAP measures. A reconciliation of these measures to their most directly comparable GAAP financial measures are included on slide 17 through 26 of our presentation. I would now like to turn the call over to De Lyle.
De Lyle Bloomquist: Thank you, Mickey, and good morning. I will start with the financial overview of the quarter, and then provide an update on our progress in executing our strategic priorities, before turning the call over to Marcus to provide additional details on the business segments and our capital structure and liquidity. Following Marcus' update, I will come back and provide further details on our 2023 initiatives and guidance before opening up the call to questions. Let's now turn to slide four to review our performance in the third quarter of 2023. Results for the third quarter were disappointing, with EBITDA of $24 million, a decline of $44 million or 65% compared to the prior year. The poor results were a consequence of persistent weak demand across many product categories, which overshadowed the strong pricing recognized in our CS segment. While we expect that some level of demand weakness will persist, we do have high confidence that the fourth quarter will be notably stronger due to the full realization of the cost reduction initiatives and stronger CS shipments due, in part, to the increased market share resulting from the closure of the GP facility. The challenges that we experienced in our High Purity Cellulose segment were primarily due to the declining commodity prices and lower cellulose specialty volumes. However, prices for our Cellulose Specialty products remained strong with a year-to-date increase of 12% as compared to the prior year period as a result of us prioritizing value over volume for our highly specialized product mix. The Paperboard segment saw a $2 million improvement versus the prior year period, primarily driven by cost reductions resulting from lower purchased pulp prices, which more than offset the impact of reduced prices and sales volumes. High-yield pulp EBITDA decreased $11 million versus the prior year driven by lower sales prices and volumes due to weak market demand and an opportunistic production shutdown in July that we took in response to this market weakness. Corporate expenses increased $9 million attributed to less favorable foreign exchange rates compared to the prior-year period. In light of the weaker quarter results and the expected ongoing demand weakness in specific end markets, we are revising our adjusted EBITDA guidance to approximately $150 million. It's worth mentioning that the majority of our Cellulose Specialty end markets have remained stable, and our Paperboard business continues to perform well. Also, the pricing for commodity products have rebounded from the lower pricing seen in the third quarter. We are having success in keeping the business cash flow positive. Therefore, we are increasing our adjusted free cash flow guidance to a range of $65 million to $75 million driven by better-than-expected working capital monetization, reduced cash expense, and lower capital expenditures. I will provide some details of our efforts later on. Turning to slide five, as mentioned during our Investor Day, we recognize that we have a challenging balance sheet that must be fixed. To that end, we are targeting debt reduction of $70 million over the course of the next year. This will be achieved through the sale of passive assets and free cash flows from the business. Also, we are exploring the opportunity to further accelerate the de-leveraging of our balance sheet through the sale of our Paperboard and High-Yield Pulp assets. These assets enjoy strong tailwinds from the global move to more sustainable packaging. This business also generates strong cash flows due to healthy profit margins and low custodial CapEx requirements, [but we expect impressive] (ph) premium on the market. We're actively working with our advisor and making good progress on this front, and expect that we will announce a sales transaction in the first-half of 2024 if our value expectations are met. We believe that this further de-leveraging will set us up well to deal with the refinancing of our 2026 senior notes in the second-half of 2024. I feel confident we will have this issue addressed in the coming year. The next issue we are dealing with is reducing our exposure to high-purity commodities, and the volatility it adds to our earnings. The market share that we will gain from the closure of the GP Foley facility will make a significant impact on reducing this commodity exposure. We believe that we will add a minimum realized $35 million in EBITDA improvement from the improved sales mix in 2024. We are also working with our customers to quantify or to qualify current CS production at Temiscaming, and our other CS product lines so we can begin to consolidate our commodity viscose production at Temiscaming, which houses our lowest variable cost High Purity Cellulose line. Lastly, with a robust balance sheet and a core solid business, RYAM will be able to fully realize the promising plan of our Biomaterials business. As discussed during our recent Investor Day, the initial phase of this plan is forecasted to yield over $100 million of revenue and $42 million in EBITDA annually within the next five years. Our first project, the bioethanol plant in France, is progressing well. We expect that construction will be completed near this year's end, and commercial production should start in Q1 of 2024. We're also advancing a couple of other biomaterial projects. We're working on the permitting and engineering of our second bioethanol plant to be located in Florida. And our bid to generate bioelectricity in Georgia has advanced to the next round. All in all, our strategic vision sets RYAM up well to achieve $325 million in annual EBITDA in 2027. We are confident that we will overcome the near-term issues, positioning us to successfully realize the significant opportunities ahead. We will keep you updated as we progress forward. With that, I'd like to turn the meeting over to Marcus to take us through the financial details for the quarter.
Marcus Moeltner: Thank you, De Lyle. Starting with our High Purity Cellulose segment on slide six, sales for the quarter decreased by $77 million or 21% to $292 million as a result of a 13% decrease in sales prices, the decline was primarily related to reduced pricing in commodity markets whereas our CS product saw a 6% price increase, underscoring our commitment to securing fair value for our specialty offerings. Sales volumes decreased by 10% to 217,000 metric tons due to weaker market demand for both specialty and commodity products. Commodity sales volumes rosed by 37% compared to the previous year whereas CS volumes decreased by 36%. This drop was attributed to market driven declines in demand, mainly due to substantial customer destocking, specifically in construction markets. Sales for the quarter included $28 million of biomaterial sales, primarily from green energy and lignin. EBITDA for the segment declined $26 million to $27 million. The impact of higher sales prices for CS and the reduction of input cost was more than offset by a less favorable sales mix and decrease in commodity prices. Turning to slide seven, sales in the paperboard segment saw a decrease of $9 million resulting from a 5% reduction in sales volumes and an 8% decline in sales prices, reflecting weaker than expected market demand. EBITDA for the segment increased $2 million to $17 million driven by reduced purchase pulp cost, partially offset by the impact of lower sales prices and volumes. Turning to the high-yield pulp segment on slide eight; sales declined by $15 million in comparison to prior year, mainly due to a 31% drop in external sales prices and a 13% reduction in sales volumes. The reductions were a consequence of weaker demand and opportunistic downtime taken in response to market conditions. The segment's EBITDA stood at negative $5 million for the quarter in contrast to $6 million recorded in the previous year. Turning to slide nine, on a consolidated basis, we had an operating loss for the quarter of $14 million. Sales price improvements in CS were more than offset by $35 million of unfavorable mix in HPC and lower prices for HPC commodities, paperboard, and high-yield pulp. Cost decreased by $28 million as a result of disinflation for certain input cost. It is worth noting that approximately $12 million of the cost improvements resulted from cost mitigation initiatives outlined during our previous earnings call. SG&A and other costs increased $5 million due to less favorable foreign exchange rates compared to the prior year period. On slide 10, net debt ended the quarter at $743 million, a reduction of $5 million from the same period in 2022. Sequentially, our net debt increased due to an expected increase in working capital, primarily related to finished goods inventories. The build-up in inventory level was in preparation for the annual maintenance shutdown at our Fernandina plant. Our primary focus for 2023 continues to be cash flow and debt management. Consequently, we have executed opportunistic downtime for both our paperboard and high-yield pulp facilities. And we intend to implement similar downtime strategy at our Tartas facility, all aimed at optimizing working capital allocation. Liquidity ended the quarter at $147 million including $27 million of cash, $112 million available under our ABL facility and $8 million for our French factory and facility. Covenant adjusted net leverage ended the quarter at 4.4 times, higher than our initial expectations. This increase is attributed to the lower EBITDA and weaker demand experienced during the past two quarters. We are committed to maintaining compliance with our 4.5 times covenant test linked to our 2027 term loan facility, and are actively managing cash flow and net debt levels to ensure the ongoing maintenance of our covenant cushion. I will provide additional details regarding our plan to address the covenant in the slides that follow. As part of our continued effort to reduce debt, during our Investor Day we outlined our objective to retire an additional $70 million in debt within the next year. We plan to achieve this through free cash flow and possible divestiture of passive assets. By further lowering our debt and strengthening our balance sheet, we believe the company will be well positioned for the refinancing of the 2026 senior notes in 2024. Furthermore, we have recently confirmed our intention to explore the potential sale of our paperboard and high yield pulp assets. We believe these assets offer a compelling value proposition in the market. And we have engaged Houlihan Lokey to formalize this process. It is important to emphasize that we see these assets as valuable. And we will only pursue monetization if it aligns with the best interests of both the company and our stakeholders. Any proceeds from the sale of these assets would be utilized to accelerate the reduction of debt and further de leverage our balance sheet. So, now let's shift to focus on slide 11, which sets out a bridge illustrating how we expect to achieve EBITDA increase from Q3 to Q4. To begin, we'll revisit the mitigation measures we discussed during our previous call last quarter. The additional $14 million you see here is primarily related to lower fixed costs, including maintenance and supplies. We also expect benefits from reduced chemical and wood usage in Q4. And furthermore, we anticipate an improvement in price and product mix in our HPC segment. As the Q4 order book is more weighted towards higher margin CS products compared to Q3. Over 90% of the CS orders are confirmed and planned to ship in the quarter. Additionally, we expect both paperboard prices and volumes to experience an increase in Q4 as destocking wanes, and market demand improves. High yield pulp prices have rebounded from their lows and are projected to increase slightly in Q4. And lastly, Q4 HPC production volume is expected to remain roughly flat compared to Q3. But an unfavorable mix shift in production is anticipated. Driven by opportunistic market downtime in December, we have a high level of confidence in achieving this guidance and remain focused on execution as quarter four progresses. Let's now review how the guidance aligns with our ability to meet our debt covenants, as shown on slide 12. In Q3, our LTM covenant EBITDA stands at approximately $170 million, indicating that we have approximately $12 million to $14 million in add backs available on a normalized basis. We closed Q3 with a net debt of $743 million. And we maintained net covenant leverage at 4.4x below the 4.5x covenant test. Looking ahead to Q4, we anticipate covenant EBITDA of $160 million based on our guidance, and we are targeting net debt of $700 million, keeping the net covenant leverage flat at 4.4x. Our strategy for achieving the net debt target comprises several components, including $40 million to $50 million of free cash flow, including $15 million to $25 million of working capital. Ongoing mitigation actions, addressing costs, capital expenditures, and other discretionary items will also provide benefits. Additionally, we are actively negotiating potential monetization of passive assets, amounting to $35 million to $40 million. I have full confidence in our approach to manage the covenant cushion and believe we have a well defined plan in place. If any problems arise in the upcoming quarter, we are fully dedicated to utilizing all available means to meet the covenant requirements. With that, I'd like to turn the call back over to De Lyle.
De Lyle Bloomquist: Thank you, Marcus. Now let's shift our focus to slide 13. We'll all update you on our 2023 initiatives. As Marcus and I mentioned earlier we faced sustained weakness in demand across multiple end markets. This has led us to reduce our 2023 EBITDA guidance, which is now set at $150 million. Building upon our previous discussion in the second quarter earnings call, we've made substantial efforts to address the impact of the challenging market conditions we have encountered. Specifically, our management team took proactive steps to reduce expenses in the second-half of the year, totaling nearly $40 million. These measures included various actions like reducing contractors' services, implementing a hiring freeze, scaling back on over time, trimming expenditures on wood, caustic and freight while also boosting productivity and capitalizing on higher power sales prices. However, the impact of these cost-saving measures took longer to manifest in our financials than initially expected, primarily due to a slower inventory turnover rate in the third quarter. Nevertheless, as we enter the fourth quarter, we are beginning to witness the tangible benefits of these efforts, and we anticipate that we will recognize the approximate $40 million in savings by the year's end. It's important to note that we now believe that approximately 40% of these savings are forecasted to reoccur in 2024, in line with our ongoing initiatives to enhance process efficiency and our commitment to further cost-saving measures. Although our 2023 EBITDA outlook is less favorable, we are increasing our guidance for 2023 free cash flow to a range of $65 million to $75 million. In the third quarter, we witnessed a temporary decrease of $25 million in free cash flow as working capital expanded. This was largely due to an increase in inventories in preparation for the fourth quarter plan shutdown at our Fernandina facility, as well as lower off-take for ethers into the construction markets. We anticipate a substantial working capital benefit for the full-year in Q4, as we aggressively manage inventories by implementing opportunistic production down time across our paperboard, high-yield pulp, and Tartas HPC businesses. Furthermore, we have lowered our full-year total CapEx projection to $120 million, inclusive of $35 million in strategic CapEx net of financing. In the current environment, adaptability is essential, and we are prepared to scale back strategic capital investments if required. We are maintaining our focus on capturing higher value for our cellulose specialty products. Year-to-date, we've achieved an impressive 12% price increase for cellulose specialties compared to the prior year period. Moving forward, we will continue to prioritize the value of our cellulose specialties, ensuring a strategic approach to better optimize profitability across the cycle. Our commercial team is currently working hard discussing contract terms for the coming year, and I am optimistic about the outcomes of these discussions as we approach 2024. Finally, I'd like to provide further details regarding our viscose and paper pulp businesses. As discussed in our previous earnings call, these businesses are expected to incur an estimated EBITDA loss of $50 million this year due to the prevailing low sales prices, with a significant portion of these losses concentrated in our North American sulfide plants. Traditionally, we have used the production and sale of commodity products to maintain high utilization rates for our six high-purity production lines, thereby maximizing fixed cost absorption. In challenging market conditions like the present, it has become evident that this strategy offers only marginal financial benefits. Consequently, we recognize the need for a strategic shift. We have initiated the process of consolidating viscose production to our to Temiscaming facility. We are in the process of qualifying the cellulose specialty grades currently produced Temiscaming within our remaining cellulose specialty facilities. Once these qualifications with our customers are successfully completed, we will transition these grades to the other facilities and backfill Temiscaming with viscose production. Now let's turn to slide 14, where we will assess our progress against our 2023 EBITDA and free cash flow guidance. The waterfall chart illustrates our plan to realize free cash flow within the $65 million to $75 million range. Anticipating EBITDA of $150 million for the year, we have reduced cash outflows, effectively more than offsetting the lower EBITDA. These adjustments encompass lower cash interest, CapEx, and other obligations while increasing working capital monetization. The lower interest expense is largely attributable to the timing of payments related to the recent refinancing. Our custodial CapEx has been reduced to $85 million, and we have also eliminated the catch-up capital in 2023. We believe that our current operating levels can be sustained at this CapEx level. However, we will likely need to spend this deferred capital in the next couple years to maintain reliability going forward. Expanding on the $71 million in working capital benefits realized during the initial nine months. We have revised our year-end target to $85 million to $95 million, given our confidence that further enhancements in Q4 will be realized as inventory balances are optimized. Furthermore, we have reached on an understanding with our government partners in France regarding the deferred energy liabilities, which will not necessitate further payments in 2023. Reflected in this chart for the quarter, includes the category for miscellaneous accrued liabilities, which encompasses items like property taxes, customer rebates, accrued interest, and so on. We incorporate this as a reconciliation element to connect our guidance with our actual figures. As we've previously discussed, our free cash flow will be allocated strategically, directed toward either debt repayment or investments in appealing strategic projects. Turning to slide 15, we depict the progress or our EBITDA margin growth and our net leverage decline. For 2023, we anticipate our margins to land in the 9% range, which as noted, is a weighted average of the strong margins we enjoy in the Cellulose Specialty and Paperboard segments, and the negative margins expected in the viscose and other commodity businesses. Net debt leverage is expected to hold steady at 4.4 times covenant EBITDA for the full-year. However, we remain committed to drive towards our target net debt leverage ratio of 2.5 times in 2027. I'm confident that the fourth quarter results would be stronger than Q2 and Q3. The demand for many of our CS products has remained resilient. And we do expect to see an uplift in CS demand in Q4 due to the closure of competitive capacity. Paperboard sales volumes are showing signs of normalizing, and I believe that our businesses that are more GDP-sensitive will pick up in the second-half as evidenced by our recent viscose, fluff, high-yield pulp price increases. All of our scheduled plant outages are now behind us, so we will see improved productivity and lower spending as we execute the nearly $40 million in expense reductions, and the $10 million to $15 million in CapEx curtailments. With that, operator, please open the call to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Matthew McKellar with RBC Capital Markets. Please proceed with your question.
Matthew McKellar: Hi, good morning. Thanks for taking my questions. Maybe first, it looks like CS volumes were down 6% quarter-over-quarter. And you called out weakness in ethers related to construction markets. Can you give any more color on what's going on in that market? And then maybe call out any other pockets of relative strength and weakness in demand, either by product or end markets? And then maybe last, is there any other color you can provide on what the drivers are of the stronger mix you anticipate in that business in Q4?
De Lyle Bloomquist: Hey, good morning, Matthew, this is De Lyle. Talk a little bit about what's going on in the ethers market. And I don't think it's any surprise, most of our – or a good portion or our ethers ends up in the construction markets. And the higher interest rates that we're seeing globally is really having an impact on all construction, both commercial and residential. So, it's not a surprise that we're seeing an issue in demand with respect to that end market. Our expectation is that we're going to continue to see weakness through the rest of this year in ethers, as well as going into 2024. All of our customers are telling us to expect a similar environment next year as we saw this year. So, we're not counting on ethers to bounce back any time soon given what we're seeing in the macro environment. With respect to the other markets, whether it's acetates or other CS, I would say, for the most part and as noted in our commentary, that those markets have been relatively resilient. In Q3, acetates were softer, but that was really due to our customers had taken some downtime during that period due to just regular scheduled maintenance outages. And we're going to see an improved mix as acetates demand normalizes in the fourth quarter. Relative to the fourth quarter, as I mentioned, acetates are expected too to be stronger than they were in the third quarter because of, call it, the rebound from the outages that they took in the third quarter. And we also expect that our demand for other CS is going to improve because of the closure of other competitive capacity that we saw -- or that was announced in September. So, those are the two big drivers that will drive the improvement in mix in the Q4.
Matthew McKellar: Great, thanks for that. That's helpful. Maybe next, sounds like you're monetizing or looking to monetize about $35 million to $40 million of passive assets. And I think you've talked at a high level as to what your options might be there, but now that you're out with a specific dollar value range, can you give any more granularity as to what the major components would be there, and maybe speak to your level of confidence around monetizing some portion of that or at least getting agreements in place by year-end?
De Lyle Bloomquist: Yes, Matthew, with respect to those passive assets, we're in active discussions and negotiations with third parties on the potential monetization of those assets, so I really don't want to get into any specifics relative to what we're trying to do and who we're talking to. But I can generally say that I have relatively high confidence that we're going to conclude a sale of those assets by year-end.
Matthew McKellar: Okay, thank you. Maybe one last one, you took downtime at Temiscaming, the Paperboard and High Yield Pulp side, in October. Can you comment at all on how that downtime and restart went from an operational perspective, and whether there is any impact to your higher-purity cellulose operations at the site from the downtime?
De Lyle Bloomquist: Yes, well, that's a great question. With respect to whether the downtime on our Paperboard or High Yield Pulp lines impacted the high purity line, the answer is no. The high purity line ran well during October. With respect to the startup, whether there was any trouble getting the line started back up once we got past the period that we had those facilities down, the answer is no. Both operations have bounced right back.
Matthew McKellar: Great, thanks. I'll turn it back.
Operator: Thank you. Our next question comes from the line of Daniel Harriman with Sidoti & Company. Please proceed with your question.
Daniel Harriman: Hey, guys, good morning, and thanks for taking my call. I just have two quick ones for you. First, obviously, with the Foley mill closure, the market is going to tighten quite a bit going in towards the end of the year, and also in 2024. So, as you go into pricing negotiations with customers in the CS segment, do you see potential upside as pricing being a benefit to boost margins in '24? And then secondly, I know you've mentioned several times now that you're committed to refinancing the '26 notes in 2024. I'm just wondering if the sale of Paperboard and/or the High Yield Pulp assets were not to go through, does that change your strategy at all in terms of financing in '24? That's all for me. Thanks.
De Lyle Bloomquist: All right, Daniel, with respect to your question around the Foley closure and how it would impact our negotiations with respect to CS pricing in '24, you're absolutely correct that the closure of that capacity is going to tighten the CS markets. But I need to note that it only tightens part of the CS markets. There's three segments, acetates, ethers, and other CS, which includes filtration casings and so forth. Because GP principally supplied into the other CS market, that is really the only market that its closure is going to have an impact on in any material way. So, we do expect that that market will tighten up. And we believe as a result of that we will gain some market share as a result of that, and then see the improved sales mix that we talked about earlier. The other two markets, different competitors; Borregaard in ethers, and Bracell in acetate, we are aware that they've got some available capacity because they're seeing the same pressures that we're seeing on a macro basis in terms of destocking and things like that. So, it's way too early to even forecast or think about what's going to happen in '24. But we are, as stated in our commentary, that we're going to be pushing value. But the dynamics that you would expect from the closure of Foley is going to have less of an effect in those two markets as it would in the other CS market.
Daniel Harriman: That's very helpful. Thank you.
Marcus Moeltner: But Dan, on your second question -- 
De Lyle Bloomquist: Oh, yes. I'm sorry. The second question, I'm sorry. And maybe, Marcus, yes, you're probably the right person to talk about that.
Marcus Moeltner: Yes, Dan. We would remain focused on addressing our next maturity and take care of the refi next year, as we mentioned, any asset sale would accelerate debt retirement. But aligned with our Investor Day comments, reducing debt further and addressing the maturity is a key priority for the company and management.
Daniel Harriman: Okay, great. Guys, I really appreciate it. Thank you.
Operator: Thank you. [Operator Instructions] Our next question will come from the line of Dmitry Silversteyn with Water Tower Research. Please proceed with your question.
Dmitry Silversteyn: Good morning, gentlemen. Thank you for taking my call. You mentioned in your comments that you're seeing a little bit of an improvement, I guess, in the raw material pricing situation. Can you talk about what is going on with the raw material pricing, both on the caustic side as well as on the wood side? And how do you see that playing out for the rest of the year, and as we head into 2024?
Marcus Moeltner: Good morning, Dmitry. With respect to the input cost, yes, we are seeing some improvement in terms of the purchase price as we go into Q4. And we expect that, that will continue to see improvement as we go into 2024. Some of the biggest improvements we're seeing is in caustic, as you noted. We expect relatively significant change in 2024 and a more modest change in the fourth quarter of this year in caustic. But I got to note that at the end of the day, the pricing that we're going to pay in 2024 is still going to be higher than what we paid back pre-pandemic. So, we're not back down to what I would say a normal level. But we will see some improvement there. Wood prices, again, it's going to be the impact on wood prices is generally going down. And that's due to, in large part, due to the closures that have been announced and have been affected in the paper pulp industry as well as within our own industry. But to the degree by which will be different in the different regions we operate. So, an example would be because of the Domtar, Espanola closure in Canada, that's going to have a fairly significant impact on the pricing of wood that we bring into Temiscaming in '24. And here in the U.S. Southeast, the impact of the IP closure as well as the WestRock closure in Charleston and then the Foley closure should have some impact. And we're expecting some lower pricing in '24 as well as a result of that. Got to note, though, again, the same thing with caustic, even though the prices are going down, we expect that at the end of the day, the pricing will still be higher than it was back in 2021, 2022. And then finally, with respect to Tartas, again, Tartas wood basket there, a little tighter than what we see here in the states. And as a consequence, we do expect that pricing will be relatively flat in '24 relative to '23.
Dmitry Silversteyn: Understood, very well. Thank you.
De Lyle Bloomquist: Dmitry, the last item that we're seeing good green shoots on is ongoing reductions on container rates as they relate to ocean freight, so it's another item.
Marcus Moeltner: Yes, fairly significant change in logistics cost.
Dmitry Silversteyn: That's a big, good part because certain logistic pricing for everybody has been a problem over the last couple of years. When you look at the fourth quarter guidance you talked about picking up some business and some market share from the Georgia Pacific closure, the Foley plant, should I infer that these that this additional volume is basically being negotiated right now and that you are in the process of getting your products qualified? My understanding was that was going to take a few weeks to maybe a couple of months to get your products, or anybody's products qualified for these applications, because cellulose is not necessarily a kind of like plug and play type of a solution. And when you switch suppliers, you need to re-qualify your product. So can you talk about sort of where you are in that process and how much you're going to realize in terms of incremental business in the fourth quarter versus 2024?
De Lyle Bloomquist: Okay, I guess to start with is that many of the customers and CS market we shared with GP. And as a consequence, we were already qualified. So we don't have to go through the same hoops, that potential competitors would to get into those customer accounts. So the hurdle was a lot lower for us. And as a consequence, we've already booked volume for Q4 as a result of GP's closure. And as I said earlier, we're very, very confident that we will achieve at least a $35 million EBITDA gain from the sales mix in '24 as a result of the market, or the sales mix change in '24. But we're already starting to see improvements in our increased volumes of CS sales in Q4 as a result of the closure and as one of the principal drivers of the favorable -- expected favorable sales mix change in the next quarter.
Dmitry Silversteyn: Understood. And then final question with regards to pricing and kind of following-up on Dan's earlier question, you mentioned that that some of the specialty cellulose pricing, you're able to get higher prices. Is that a function of the market demand improving? Or was that more of a function of the Foley plant closure? And people realizing that the capacity has tightened up?
De Lyle Bloomquist: I'm not quite sure. Can you just restate that question again? Just to make sure I get that.
Dmitry Silversteyn: Sure, so you mentioned in your remarks that you have gotten I think 6% sales or price increase in your specialty cellulosic business. So my question is, did that have to do with improved market fundamentals in terms of the demand side? Or did it have to do more with the closure on the plants and the other CS businesses that where capacity has now tightened up?
De Lyle Bloomquist: Yes, the 6% increase is the change in pricing, I believe, in the current Q3 versus the prior Q3 numbers. So it really doesn't have to, you're not really seeing the effect yet of any Foley or increase in Foley business. And I would say that the change in year-to-year is due to the price increases that we effected in August of last year, as well as coming into the new year or coming into 2023 for our CS business, and you're just seeing that favorable change from prior negotiations.
Dmitry Silversteyn: Okay, so if I can rephrase my question a little bit differently, you you've gotten pricing, because of your strategy of emphasizing value over volume, is the pricing momentum, in your opinion going to accelerate as we get into 2024 with a full closure or you're just going to continue to execute your strategy and get the pricing that you can get regardless of what market conditions are in terms of capacity with a Foley plant coming out of the industry?
De Lyle Bloomquist: Well, this strategy is going to stay the same, focus on value over volume. But at the same time, we're going to make sure that we get the volume we need for the business. And we've said this before on previous calls, we will defend our share. So we'll continue to go forward with that. I really can't speculate at this time, Dmitry with respect to where pricing is going to go for '24. In fact, this week is London pulp week. And we're right in the middle of our initial discussions with customers for '24. So I'm not going to take my people's knees out from underneath them and tell you where things are going to go. But we do feel we're in a pretty strong position relative to what we offer, and I think the closure only help us with respect to our negotiating position.
Dmitry Silversteyn: Fair enough. Thank you.
Operator: Thank you. There are no further questions at this time. And I would like to turn the floor back over to President and CEO, Mr. De Lyle Bloomquist for closing comments.
De Lyle Bloomquist: Well, um, thank you again for joining us today. I want to note that I'm incredibly proud of the collective efforts made by our team here at RYAM. And I have full confidence that we will continue to enhance the profitability while we diligently work to reduce our debt and our leverage. Please know that our lines of communication are always open. So, feel free to reach out to any one of us if you have any questions or require further information. So, again, thank you for your time.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.